Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2013 Nu Skin Enterprises Earnings Conference Call. My name is Erika, and I'll be your operator for today. [Operator Instructions] I would now like to turn the call over to Scott Pond, Investor Relations, please proceed.
Scott Pond: Thanks, Erika, and good morning, everybody. We appreciate you joining us. In the room with me today are Truman Hunt, President and Chief Executive Officer; Ritch Wood, Chief Financial Officer; Dr. Joe Chang, Chief Scientific Officer; and Dan Chard, Vice President of Sales and Operations. Just a reminder, during the call, comments can and will be made that include forward-looking statements. These statements involve risks and uncertainties, and actual results may differ materially from those discussed or anticipated. We encourage you to refer to today’s earnings release and our SEC filings for a complete discussion of these risks. And with that, I'll turn the time over to Truman.
M. Truman Hunt: Thanks, Scott, and good morning, everyone. We appreciate you joining us today. As you know, this is a big week at Nu Skin. We're hosting more than 15,000 people from over 50 countries to our global sales convention in Salt Lake City this week. And we'll officially begin that event with the ribbon cutting of our new innovation center at our corporate headquarters in Provo tomorrow morning. This is an absolutely beautiful state-of-the-art facility that will be the home of our anti-aging research and development center. This facility really reflects our commitment to continue to innovate in our product line, as well as within our direct selling channel. We would invite any of you who happen to visit Utah in the upcoming weeks and months to stop by and see the new facility first-hand. And we're also very pleased with our third quarter results. We posted record revenue of $928 million, an impressive 76% improvement over the prior year. And even more impressive when you consider that our largest revenue quarter prior to this was $683 million. Additionally, our earnings grew by 107%, reaching $1.80 per share. And as strong a quarter as this was, we remain optimistic about what lies ahead, as reflected in the significant increase in our guidance for the year. Ritch is going to touch on the details of the increased guidance in a few minutes. Of course, a highlight for the third quarter was the very strong start we had with the global LTO of our new weight management system which we call ageLOC TR90. Beginning in September, we made TR90 available in portions of Greater China and in the South Asia/Pacific regions, with sales totaling about $205 million. We're continuing the LTO in the remainder of our regions in the fourth quarter, and based on what we've seen so far this month, we would expect the LTO to generate revenue in the range of $550 million or so. As you may remember, we will follow this fall's global LTO with regional sales windows throughout the year in 2014. In the past, our regional launches have generated sales levels considerably higher than our global LTO, which we expect to remain the case next year. These significant sales events not only drive revenue growth but they also give us a healthy lift in the number of actives and in our sales leader count. We now have more than 360,000 more consumers and sales leaders than we did at this same time last year. Geographically, we were particularly pleased with the strong growth in the Greater China and South Asia/Pacific regions, as well as in South Korea and in the Americas. We remain optimistic about the potential of Mainland China, which continues to be a growing market for the direct selling industry as a whole. We're still a relatively small player in the market and we think that the market's potential justifies the investment to continue to sustain growth in a market that one really cannot afford to ignore. We've spoken previously about our plans to accelerate the build-out of our business in China and look forward to sharing an update and more details of this plan in November at our Analyst Day. I would also note that the other markets in the Greater China region also performed extremely well this quarter, with a 79% improvement in Taiwan, 68% improvement in Hong Kong. Some of you will remember that about 3 years ago, we put in place an incentive for Greater China to reach $1 billion in sales by the end of 2014, which is our 30th anniversary year. That objective, when we initiated it, it seemed quite aspirational at the time. But we will announce this week at our convention that Greater China actually achieved that sales objective for the year earlier in the month of October. So we're really pleased with what's happening there, and that achievement is a tribute to our management team and our sales leaders who are working really hard to execute in a high growth environment. North Asia also had a strong quarter, on a continued growth at South Korea, in particular, which is a long-term all-star market for us, and which posted a 71% gain in the quarter in local currency. Japan slipped a bit in local currency in the quarter, but we expect it to be flat to slightly modest growth for the year as we introduce TR90 and continue to execute our plans there. From an operating standpoint, our operating margin reached its highest level ever in the third quarter at just over 18%. This speaks to the power of the business model as we leverage G&A on strong product sales. At our Analyst Day in November, we'll talk about where we expect operating margin to be as we continue to grow. Our business model puts us in the enviable position of being able to invest in growth initiatives and still maintain healthy operating margins. Overall, we hoped that our shareholders will recognize that good things are happening at Nu Skin Enterprises. We have, I think, a rare opportunity to grow at rates that few companies in the consumer products world do. We're really pleased with our product pipeline, and we can see a powerful and steady stream of products continuing to fuel our growth going forward. Fourth quarter will be our first ever $1 billion quarter, at least we expect it to be so. And we also expect regional sales of TR90 to surpass our global LTO sales this year. And looking forward, even another year, we believe that our next global launch in 2015 will be a very significant launch, perhaps even our first ever $1 billion product launch. We're likely to give the shareholders a glimpse of the products and the pipeline for 2015 at our Analyst Day in November. So we have some lofty goals here at Nu Skin and we have confidence in our sales force and in our management team. They're a talented and motivated group of leaders who are truly passionate about Nu Skin and about what they're doing. So with that, I'll turn the time over to Ritch.
Ritch N. Wood: Thank you, Truman, and good morning, everyone. I'll begin my comments highlighting what I see is the most encouraging data point coming out of this quarter. And this is the highlight of the growth we experienced in our sales leaders, combined with strong year-over-year growth as well as sequential growth in our active base. Typically, we see very little to no growth in our sales leaders and active based on a sequential basis from Q2 to Q3. So the growth we experienced this past quarter is a positive sign of the strength we're seeing in the business. It's an early indication of the solid execution surrounding our latest product launch. And frankly, it gives me confidence that allows us to take our numbers higher for the fourth quarter and believe 2014 will also be a very strong year. As we mentioned, overall sales grew 76%, which included a 3% currency -- negative currency impact. Revenue in the quarter benefited from $205 million approximately of LTO sales, and which was approximately $15 million ahead of our estimate of $190 million. In the prior year quarter, we had about $50 million of LTO sales in Greater China and Southeast Asia. Our gross margin for the quarter was 84.9%. That was well ahead of our expectations and up about 140 basis points compared to the prior year, 83.5% rate. The lift in gross margin was primarily attributed to the LTO sales of TR90 products, which on a consolidated basis have very good gross margins in Asia, which is where the LTO took place. Selling expenses for the quarter increased to 49.3%, well above the 44.8% from the same period of the prior year. This selling expense increase was a result of accelerated sales growth generated by solid execution from our LTO offer of TR90, as well as strong increases in the number of our sales leaders. We have significantly more sales leaders qualifying for promotional sales incentives, pushing this expense somewhat higher. We expect selling expenses to remain high in the fourth quarter, at a similar level as we experienced in the third quarter, as we continue the product LTO and anticipate very strong growth rates in revenue throughout the rest of the year. Our G&A expenses for the quarter as a percentage of revenue were 17.5% compared to 23.1% in the prior year period. Our model works in such a way that the strong sales growth increases our sales compensation expense, but we generate an offsetting benefit in our G&A expense line as a percentage of revenue, since a good portion of our overhead costs are fixed. Hence, the strong revenue growth from the large amount of LTO sales was primarily responsible for the 560 basis-point improvement we experienced in our G&A expense ratio in the third quarter. Our tax rate for the quarter was 34.3%, slightly lower than 35.2% in the prior year. And during the quarter, we paid $17.8 million of dividends, we repurchased $76 million of our outstanding shares, and that leaves our remaining authorization at $445 million as of the end of the quarter. For the fourth quarter, we're projecting revenue of $1.02 billion to $1.05 billion. And that includes a negative currency impact estimated to be approximately 6%. Most of our regions have now executed on their LTO initiatives here in the fourth quarter. And with what we've experienced so far and what we're anticipating, we now project fourth quarter LTO sales to be approximately $350 million for the quarter. We have the global convention this week and we'll spend approximately $11 million to $12 million on this initiative, which will add to the fourth quarter G&A expenses. We estimate gross margin to be slightly above 84%; selling expense to be somewhere in the 49% to 49.5% range, with an overall margin for the quarter of approximately 17%, which puts our earnings per share in the range of $1.85 to $1.90, is our projection for the quarter. Our updated projections put full year 2013 revenue at $3.18 billion to $3.21 billion, including a 4% negative impact from foreign currency fluctuations, with earnings per share of $5.77 to $5.82. We anticipate operating margin for the full year to be around 17%. So with that background, we'll now open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of John Faucher with JPMorgan.
John A. Faucher - JP Morgan Chase & Co, Research Division: I just wanted to take a look, while the TR90 stuff was impressive, it's the strength in the underlying business that's driving most of the upside. So I guess, I know it's still too early for 2014 guidance, but can you talk a little bit about the sustainability of some of that improvement, how much of that improvement do you think is due to people trying to be an executive in front of the TR90 launch on a global basis? So how should we think about the sustainability of the underlying business trends heading into '14?
M. Truman Hunt: Let me comment on that, John, and then Ritch will, undoubtedly, have some additional comments. There's no question that building up to our convention this week, we have seen a lot of activity of people reaching to qualify for executive status or for higher pin levels within our sales leader ranks. We would typically see some consolidation of that post-convention, as that target and timeline, people take a little bit of a breather after a convention. But as we indicated in our remarks, our regional rollouts of TR90 next year, we really have pretty high expectations for and would expect the sales levels and sales activity and leadership growth to continue at a good pace throughout next year. Ritch, do you want to add to that?
Ritch N. Wood: Yes. I just -- I think that's right on, John, and I'd just mention that you're looking at the same things we are, and that is the growth in the sales force and the growth in the active base and how that continues to hold. We obviously expect some consolidation after a global convention on an LTO, and we certainly factored that into our guidance in the fourth quarter. As -- by the time we come to our November Analyst Day, we'll have a pretty good idea of how many of those sales leaders have been able to hold an extra month. And that will help us give good guidance for next year. But right now, we're very encouraged with the way we saw those numbers uptick. It just gives us a lot of confidence in the future and our ability to sustain the base growth that we're seeing today.
John A. Faucher - JP Morgan Chase & Co, Research Division: Great. And then one sort of unrelated follow-up here. Ritch, I'd be remiss if I didn't push you a little bit on the net debt position or rather the net cash position, obviously, continue to look better with the numbers continuing to move up here. Any sort of updated thoughts in terms of how we should think about you guys returning some of that cash to shareholders?
Ritch N. Wood: Yes. Thanks, John. And we continue to look at it as well and the opportunity to use that cash to benefit shareholders through our priorities that we've stated in the past: first of all, to invest back in the business; secondly, to pay a good dividend; and then thirdly, to repurchase stock. And we look at the use of cash and the value that creates to shareholders, not based on what we did yesterday, but what the future looks like to us. And based on our anticipation for the good future, we continue to believe that stock repurchase is a good use of cash when we can. And when we can, we're generally in the market, so we'll continue to be good stewards of that balance sheet going forward.
Operator: Your next question comes from the line of Bill Schmitz with Deutsche Bank.
William Schmitz - Deutsche Bank AG, Research Division: Could you just remind us like what historically has been the sales lift a year or 2 after a regional LTO from the other big launches you've done over the last 5 years?
Ritch N. Wood: Yes, we're not -- we're probably, what, in our third or fourth cycle here where we do a global LTO and then we follow it with a regional LTO. The regional LTOs have always been stronger than our global LTO because we have people who have actually tried the product, as well as more time to train and ready the sales force for the launch of the product. So we expect it to be strong. We'll have a little bit more data, especially by the time we come to the Analyst Day, on what our trial, our penetration, those sort of statistics look like, which will help us give a better forecast for next year. But so far, it looks really good. Every year, it continues to increase, and so we have confidence that we're getting better and better at the execution of this launch cycle that our sales and operation team continues to execute on.
William Schmitz - Deutsche Bank AG, Research Division: Great. And then, just -- can you just remind us of like the calendar going forward? So I know you did the U.S. LTO already, but sort of, kind of what's left to do and then kind of next year, what the timing is for like the various different launches?
Ritch N. Wood: You bet. The -- most of the markets have actually done their LTOs here in the fourth quarter in the beginning part of October, with the exception of Greater China, which split their LTO into 4 months, so there's -- there are 5 months actually. So there still a smaller amount of LTO that will be available in November, December and a little bit in January for Greater China. There are 2 Southeast Asian markets also that will go in November. So the majority of it is actually done. As we look to next year, the regional rollouts will start in the first quarter, a minimal amount in the first quarter, with the bulk coming in the second and third quarters. And again, at the Analyst Day, we'll be able to give a little bit more update. There's still some decisions being made on that for next year, but we'll be able to give an update better on November 21.
William Schmitz - Deutsche Bank AG, Research Division: Got you. And the global LTO for the customizable skin care, is that in the fourth quarter of '14 or does that into '15? I can't remember.
M. Truman Hunt: Yes, that goes into '15, Bill.
William Schmitz - Deutsche Bank AG, Research Division: Okay. Got you. Great. And then just looking at the P&L, it seems like year-to-date, the general administrative expenses, while there's been great leverage because of growth, they're up like $75 million, I think, in aggregate. What's the primary driver of that increase?
Ritch N. Wood: Yes. We're -- we've spent quite a bit more on some investments that we think will support the growth going forward, so Mainland China is obviously growing. They're based in infrastructure as we go forward. Southeast Asia, likewise, we're doing a number of initiatives we believe will continue to sustain the growth as we go forward. And then there are some variable expenses. Some of our labor, specifically, those who work with our sales people, with the sales people number a lot higher, those who work to pick and pack and ship the products out, those expenses do go up with the increased sales. So there's certainly leverage we've been able to pick up, but at the same time, we have to invest back to support the growth in the business.
William Schmitz - Deutsche Bank AG, Research Division: Got you. And then just one last one. I mean, how do you guys feel about looking at splitting the stock, because, obviously, it's over 100 now, and it's had a good run.
M. Truman Hunt: That's a good question, Bill, and something that we'll obviously talk to our board about here going forward. But it's nice to be able to ask that question.
Operator: Your next question comes from the line of Frank Camma with Sidoti.
Frank A. Camma - Sidoti & Company, LLC: I just wanted to follow up on one question. I know you went into some detail on this already, but in the past, I thought when you launch a new product, you would at least expect some cannibalization of sales or at least you'll take the spotlight from your products and focus on one. Is there just sort of like a general reason you think that it really hasn't happened here, and you're obviously not -- you're seeing organic growth exclusive of the product of over 30%. So is there a reason for that that we -- that you can point to?
M. Truman Hunt: To some extent, Frank, it continues to happen. We still see some cannibalization whenever we shine the spotlight on any particular product. But you're correct in perceiving that it is happening to a lesser degree than it has in the past. And the primary reason why is the -- really, what I think is one of the most innovative developments in our industry that Dan Chard, our President of Sales, developed over the course of the last decade, really working with our geographic managers with this LTO product launch process. And they have managed to now work with our field leaders on an increasingly effective and aligned basis, so that sales leaders understand the approach and are organizing their activities now around the same LTO launch mechanism. And it's just become a very effective way for us to introduce products and minimalize the extent of cannibalization as we capture new consumers for those products who are interested in, for example, this year, losing weight or changing body composition. And then hopefully, retain those consumers as we move into the next cycle. And the more time goes by, the better we're getting at it, the better our field leaders understand it, and it's just magnified severalfold now since we really started this process 5, 6 years ago.
Ritch N. Wood: And then maybe just add one other thought, Frank, our subscription orders are now up to about 60% of our sales. So the subscription orders continue to be there every single month regardless of LTOs, so it provides a really stable base that's not impacted, so to speak, by the LTO volume.
Frank A. Camma - Sidoti & Company, LLC: Sure. That's important. And just a related question, I guess. Obviously, it's going to be skewed this quarter because you did a lot of weight management product. But if you look at the rest of the business, is the mix still roughly 50% personal care, 50% nutritionals? Or is it -- does that skew somewhat because of what's going on?
Ritch N. Wood: Well, it's certainly going to skew a little bit based on the LTO, which this time has to -- happens to be Pharmanex products. But I'd just say that, overall, the strength of our personal care business has been very, very strong over the last year or 2 as we rolled out the Body Spa. And so, the personal care side of the business continues to be larger at this point in time, although with the launch of Weight Management, it's going to catch up a little bit.
M. Truman Hunt: Just 1 data point there, Frank, we did over $200 million in the quarter in TR90, but Galvanic Spa and associated gels did nearly $100 million in volume in the quarter. So the personal care side of the business continues to be very strong.
Frank A. Camma - Sidoti & Company, LLC: Okay. And just a final question, is just on the -- I know it's really hard to look at on a quarter-by-quarter basis because we got the LTOs in there, but why, in general, consistently the Asia, out of -- the numbers out of Asia, your average associate is more productive if you look at than the rest of the world? Is there -- I mean, it's just the appeal of a product basically? Or is there like in general -- do you find them more efficient? Just kind of curious about that. And I'm just taking the gross number by the way, divided by the revenue stream in that region.
M. Truman Hunt: Well, I mean, I guess we could fall into the trap of casting some ethnic slurs here, but what we're finding, really throughout the Asian markets, is that these are hardworking, entrepreneurial, very dedicated, very focused folks and really, I mean, all direct selling companies have a personality and tend to find their own vein. For whatever reason, one of Nu Skin's strengths is the fact that really almost since the time we started international expansion back in the early '90s, we struck a chord in Chinese ethnic communities in Taiwan, in Hong Kong, in Singapore, and really all throughout Asia. And so we just have real strength, in particular, in the Chinese community. But obviously, Japan and Korea, not far behind.
Operator: Your next question comes from the line of Tim Ramey with Davidson.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: The $1 billion goal in China had an associated accrual with it. Is -- since you hit it early in the 1Q, were you fully accrued in the third quarter? Does that impact SG&A spending in the 4Q at all?
Ritch N. Wood: Yes, Tim, we accrued that based on our progress obviously towards the $1 billion. We achieved that $1 billion here in October. So most of it was accrued through the third quarter with just a little bit remaining as we anticipated that we would hit that target here in October. So there will be some accrual in the fourth quarter, just primarily for October.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Okay. And I guess my surprise in the quarter was the broad-based success, which was way more way more than just the TR90 launch. You mentioned -- I think, you said Galvanic Spa did $100 million of sales in that quarter, or was that the Spa gels?
Ritch N. Wood: Spas and gels.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: The Spa and gels. I mean, can you give us a couple of other data points so that we can feel a little bit better that this was not just about the LTO, some of the other products.
Ritch N. Wood: In terms of actual data, and then Truman can kind of speak to the vision here, but the data points would really point, I think, generally to the growth we're seeing in our active base, together with growth in the sales force. And we'll show some additional detail, I think, at the Investor Day, to help understand that the base of the business continues to grow. And if we execute the LTO right, that becomes an incremental sort of business on top of our base. And so we have...
M. Truman Hunt: One interesting data point, Tim, to me, always in the face of all of this attention, frankly, on ageLOC products and on TR90 this year, is the fact that LifePak, which has been our core dietary supplement product now for probably 20 years, and hasn't had really major modifications to it for what, 5, 6, 7 years, continues to be our #3 selling product. So in the quarter, $77 million in sales, which also speaks to the 60% subscription rate that Ritch cited earlier.
Ritch N. Wood: Yes, and then R2 is kind of $50 million for the quarter, Transformation is close to $50 million, the Body Spa and the products we launched with that a year ago is about $70 million. So we just have the base of very consistent products that find a really -- where they fit in and then they just slowly continue to grow year-to-year with a very long tail on. And so, yes, the overall business is just very, very solid right now and that's why we're optimistic about what stands out in the future.
Timothy S. Ramey - D.A. Davidson & Co., Research Division: Okay. And then just on the TR90, do you plan to track the efficacy or success of the product? I assume it will be kind an interesting litmus test to have people take down a 3-months supply, and then if you had a way to sort of track weight loss or report back on success, then that would add validation to the regional launches in 2014.
M. Truman Hunt: I think what we're already seeing in this product category, that weight loss is way more social in nature than probably any of our other products, which is -- it has some good things about it and also some real challenges because we have work to do to make sure that our sales force doesn't get out ahead of where they really need to be from a product claims standpoint. But we'll monitor that carefully. As you know, Tim, TR90 has a unique position in the marketplace in that it isn't necessarily developed to maximize pounds lost, but to maximize body composition and maintain muscle mass while losing fat -- while losing weight. I mean, that's really the deceiving trick that many weight-loss programs play, is that you may be losing lots of pounds, but a lot of it, maybe even as much as 50% of it, is coming from weight you don't want to lose, muscle. And so that's the positioning. It's not about just raw pounds lost, it's about having as healthy a body composition as possible. And this is a very, very social program. Working in groups and getting support from your peers is an important part of what's happening here. So I think, probably more than any other product we have, this product is going to be very visible on Facebook and everywhere else where our sales leaders and consumers are using it.
Operator: Your next question comes from the line of Olivia Tong with Bank of America.
Olivia Tong - BofA Merrill Lynch, Research Division: Just a quick question, first on the dividend. How do you think about it long term? Are you targeting a certain payout? Or are you planning to grow it in line with earnings, or a certain yield? So how do you think about that?
Ritch N. Wood: That's a decision that our board really makes. We communicate them at length about this. And it's a balance, isn't it, between trying to share the cash that we're generating with shareholders, but at the same time, looking for the absolute best use of our cash to generate shareholder value. And at a time when we believe the future looks extremely bright, there is certainly reason to put that cash to stock repurchase as well. So it's a discussion that we have with our board, generally, towards the end of the year, and we are committed to increasing the dividend every year. That's a commitment that we made a number of years ago. But generally, we try and weigh the decision of increasing dividend against what we ought to be doing with stock repurchase.
Olivia Tong - BofA Merrill Lynch, Research Division: Got it. And then, I know I'm nitpicking here a little bit, but can you talk a little bit about the growth rates in the U.S. and Japan? Obviously, it's still okay, but just not anywhere near some of your other geographies. So what's going on in those markets? Is there something specific to those markets that's holding them back a little bit more?
M. Truman Hunt: Yes, let's -- let me tackle the U.S. first. The U.S. actually, it feels better than it looked in Q3. I mean, the psychology of sales leaders is positive. The response to the TR90 LTO was very positive, by far, the best LTO execution we've ever had in the U.S. And sales leaders are fired up about that. I think the market suffered a little bit, it's fair to say, with us having to take the Galvanic Spa off the market for most of this year. I think that's really probably the biggest factor that negatively impacted U.S. results. So our U.S. sales leaders are obviously very pleased that in 2014, we'll be able to put a facial spa back on the market, and I'll be very excited about that. So we feel good about the U.S. Japan continues to be a tough market. The direct selling industry is in secular decline there really since 1998. We grew the business last year there. We still feel like we'll hopefully see some modest growth this year, although Japan has a really difficult comp in Q4 because they're going up against the launch of the Body Galvanic Spa last year, which is not an easy comp. But we're doing some innovative things in Japan and seen some positive results. And one of those has to do with the television campaign that we're in test mode on in Japan just right now. And if things go well with the test, we may well expose you all to exactly what it entails at our Analyst Day, because I like it a lot. It's innovative for our channel. It basically -- it entails the sale in kind of a mini-infomercial of sorts on the Galvanic Spa that is customized for sale into the mass market, that is -- that we're hopeful we'll really create more consumer awareness of the Nu Skin brand, a positive perception of the Nu Skin brand. And we'll see how that plays out. But I think our management team there is doing good things. We continue to think that the psychology of our sales leaders is good there. And we're certainly not giving up hope that Japan can be a growth market.
Olivia Tong - BofA Merrill Lynch, Research Division: Got it. And then just following up on that infomercial. Historically, I think, in terms of direct sellers, you don't see a lot of promotion, advertising, what have you, on -- or TV activity per se. So why do you think that Japan is going to be different than other markets?
M. Truman Hunt: Well, as I said, it's an innovative approach to brand-building, and Japan is a very, very brand-conscious market. And we think that by building brand credibility through TV channels that, you're correct, other direct sellers typically don't use, it will help build image and create a positive awareness of who we are and what we're doing there, and with the product in the Galvanic Spa that is highly, highly effective and very desirable from a consumer perspective. So the product makes a difference. Consumers love it. It comes with a subscription on gels, as you know, on an ongoing basis. So the jury's still out because we're in test mode on this and we haven't said a lot of -- talked a lot about it. But it's the kind of thing that we can afford to do and that I think we need to do in a market where direct selling has really suffered for now over 15 years.
Operator: Your next question comes from the line of Scott Van Winkle with Cannacord Genuity.
Scott Van Winkle - Canaccord Genuity, Research Division: First, on Korea, just to make sure I had this correct, there was -- there were no LTO sales in Korea, so the pop you saw in Korea was heading into the launch in October?
Ritch N. Wood: Yes, that's exactly right. The launch happened the first part of October, so.
Scott Van Winkle - Canaccord Genuity, Research Division: And then, Ritch, you mentioned that the Mainland China rollout, what happened over 5 months, were there other markets like that so the Southeast Asia markets that got the product in September, do -- should we assume they're not going to get it again in October? I mean, all those sales were kind of captive in the month of September?
Ritch N. Wood: Yes, that's correct. Yes, China was the only market to spread it out. The 2 markets that didn't get it in Southeast Asia had a longer registration time. Those 2 markets will get it in November, it's Philippines and Indonesia. But everybody else in Southeast Asia completed their LTO in the month of September.
M. Truman Hunt: And Scott, if I could just chime in on this point, we're doing something different in Mainland China than the LTO product launch process typically entails, by spreading it out over a period of several months. And we're going to learn some things from it for sure. But one of the realities is that the logistics of those sizable launches that we're talking about in China are so significant that it just isn't feasible to do it anymore over a shorter period of time. And so this is an interesting experiment this time around that we'll learn from and I think will impact the future product rollout mechanism in China, in particular.
Scott Van Winkle - Canaccord Genuity, Research Division: Got you. And if you look at your history of these global LTOs, is this the first time the product was made available prior to a convention?
M. Truman Hunt: Yes, it is, and it's also the first time that we have truly been able to do a global product LTO. The lead times on product registrations are very lengthy in certain markets. And to be able to pull off an LTO on this -- on essentially a global scale, simultaneously within just a few months' period of time, is no small undertaking.
Scott Van Winkle - Canaccord Genuity, Research Division: So just from a standpoint of looking at the numbers by market, if we look at past examples, the Americas revenue would just massively jump because you have domestic and international visitors buying at convention. Is that -- are we not going to see that same phenomenon this time around?
M. Truman Hunt: Yes, you're not going to see the same convention sales in the Americas that we've seen in past conventions because those LTO -- the LTO sales volume is, for the most part, recognized in market.
Scott Van Winkle - Canaccord Genuity, Research Division: Got you. And then lastly, when we think about a -- whether it's a sales leader or an active, I assume mostly sales leaders participating in an LTO, what does the average person do? Are they buying 1, 3 months' supply? How did this kind of -- what is the average sales leader doing in this event?
M. Truman Hunt: It varies a bit market to market, but given the data that we've seen so far, what we see is sales leaders purchasing anywhere from 2, 3, 4, 5, maybe up to 6 kits that they then resell into their groups or to consumers. But for the most part, given the demand that we had for the product globally, we really had to put purchase limitations on our sales leaders almost everywhere. And so I think the highest numbers we're seeing in some of our markets are somewhere in the areas -- perhaps as many as 6 kits to a sales leader.
Scott Van Winkle - Canaccord Genuity, Research Division: Would you dare to estimate kind of your fill rate on this LTO relative to what real demand would have been if there were no limitations?
M. Truman Hunt: Yes, that's really -- that's tough, but no, if there had been no limitations, demand would have been significantly higher.
Scott Van Winkle - Canaccord Genuity, Research Division: Okay. And then, Ritch, is that $550 million of kind of LTO sales between Q3 and Q4, does that kind of max out your inventory?
Ritch N. Wood: Yes, pretty close. I mean, we had a little over $600 million of available product. Some of that, obviously, has pushed towards January because of the way we did that Greater China launch. So we're going to come pretty close to selling through what we had planned. And frankly, we feel like it's been a very healthy LTO. Our forecasting is getting better. I'm trying to estimate the demand market by market and understand how the sales leaders, what their participation rate is going to be and so forth, were getting better. And I think, Dan Chard, who oversees this whole process, can give more of that detail at our Investor Day to help shareholders understand how we look at the success of an LTO and how we start to forecast out what it means in 2014 as well.
Scott Van Winkle - Canaccord Genuity, Research Division: Great. And then last question, if I could. When we look at the sales leader growth in Mainland China, at this point, are you still employing all of those sales leaders, or have -- is a portion of those kind of independent?
M. Truman Hunt: Yes, it's a division of the 2. I'm actually not sure how many of them had formally been employed right now. Do you know, Ritch?
Ritch N. Wood: Yes. I mean, that -- most of the model today is still using the employee business model. We're looking to add on, as we announced sometime ago, I think it was almost a year ago, that we would add an additional position that we call an independent business owner to that mix. And we're still in the process of finalizing that, but probably sometime in 2014, there will be an additional opportunity for people who have their own selling license to sell products. But generally, it's mostly the employee model today.
Operator: Your next question comes from the line of Mark Astrachan with Stifel.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Curious what products and regions are driving the Nu Skin business given the growth rate in that segment was about 3x that of the Pharmanex business? Like what are new distributors actually purchasing there?
Ritch N. Wood: Well, I think, Mark, the primary push is going to be with the latest products that we've launched in the Nu Skin, sort of division or category. So that's the Galvanic Spa, the Transformation set and then the Body Spa and the associated products with that. So those are the primary ones, but we can go back to products that we launched in the early '90s and mid-'80s that also continue to see solid growth. So I think we have these key products where people who -- a customer who joins our business will initially purchase some of these newer products. But then generally, we see that rising tide of new people come in, lift sales of all our other products as well as they decide they want to get shampoo or soap or whatever other add-on products they would add to their core regimen that they're buying.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Is the subscription rate higher on the Nu Skin side or the Pharmanex side?
Ritch N. Wood: On the Pharmanex side, it's higher. And that's always been the case, although we're seeing those 2 close the gap, close between them a little bit as we've focused on building personal care products that actually are monthly supply products. But, yes, continues to be a little higher on the Pharmanex side, where all of our products are generally 30-day supply products.
Mark S. Astrachan - Stifel, Nicolaus & Co., Inc., Research Division: Got you. And then just broadly, how do you guys think about the future opportunity in China in terms of how you all think about it? Do you compare it, the Nu Skin business, on a market share basis to the direct selling category? Do you compare it to the personal care category? Do you look at category growth? I mean, just sort of broad framework here to think about how far this can go?
M. Truman Hunt: Well, all of that, Mark. I mean, we really think about market share in all of those terms. And interestingly enough, there was a piece that came out in the last couple of months that is now in the skincare space. People really starting to realize that home-use devices are a big category in China. In particular, I think our market share for home-use devices was something north of 25%, which is, obviously, a very impressive number due to Galvanic Spa. But generally, I mean, I personally look at the size of our competitors. And our benchmark really for many years has been the largest direct selling company out there, the Amway organization, highly, highly successful in Asia and really globally. They do $5 billion in China. They grew and have grown at rates similar to what we're experiencing. And in many markets, including Taiwan and Hong Kong, we're kind of neck and neck with them in size. So that's one of the reasons why we look at our current business there and think we still have lots of room to run. And frankly, I think with the growth that we're seeing in the market generally, you're going to see that benchmark even go up quite significantly from where it is today. We really appreciate everyone joining us today. I wanted to conclude with just one thought in addition to inviting you to attend our Analyst Day on November 21. I think the question on everyone's mind is really going to be the sustainability of our growth. We've obviously had tremendous success over the past few years. And as I met yesterday with our global management team, I find myself feeling quite comfortable that very good growth lies ahead. It's going to be virtually impossible to sustain 80% growth rates forever, but I think the next few years can be very special years for Nu Skin Enterprises. Our $5 billion sales target that we set back in 2009 is now in sight. And so Thursday, at our global sales convention, you're going to hear me initiate a new sales goal, that we will label the Nu Skin 3.0 target. And the Nu Skin 3.0 target will take us from $5 billion a year in sales to $10 billion a year in sales, doubling again the size of our company. That will be our new target. And our timeframe for that, that we're going to challenge our sales force to, is 2020. So once again, it's seems like an aspirational target, but all of the targets that we have set, really over the past several years, have seemed that way. We think, again, that this is doable and continue to believe that Nu Skin is truly enjoying the best of times right now. So thanks for joining us, everyone. We look forward to answering further questions at our Analyst Day.
Operator: Thank you for your participation in today's conference. This concludes the presentation. Everyone may now disconnect, and have a great day.